Operator: Ladies and gentlemen, thank you for standing by. Welcome to Q3 2020 Forum Energy Technologies, Inc. Earnings Conference Call. [Operator Instructions]
 I would now like to hand the conference over to your host, Mr. Lyle Williams, Chief Financial Officer. Sir the floor is yours. 
David Williams: Thank you, Lara. Good morning, and welcome to Forum Energy Technologies' Third Quarter 2020 Earnings Conference Call. With me today are Chris Gaut, Forum's Chairman and Chief Executive Officer; and Neal Lux, our Executive Vice President of Operations. We issued our earnings release after the market closed yesterday and it is available on our website.
 Before we begin, we would like to caution listeners regarding forward-looking statements. Our remarks today may contain information other than historical information. Please note that we are relying on the safe harbor protections afforded by federal law. All such remarks should be considered in the context of the many factors that affect our business, including those disclosed in our Form 10-K along with other SEC filings. Management's statements may include non-GAAP financial measures. For a reconciliation of these measures, refer to our earnings release. This call is being recorded and a replay of the call will be available on our website.
 I will now turn the call over to Chris. 
C. Gaut: Thanks, Lyle, and good morning.
 The U.S. drilling rig count in the third quarter was down over 70% from the previous year and 35% from the second quarter 2020 to the lowest levels on record. Despite this collapse, Forum was able to limit our revenue decline to just 9% sequentially as our revenue from outside North America was up 14%. Also, we were able to improve our EBITDA through further cost cuts and efficiencies and generate positive free cash flow.
 It is important to note that Forum's operating results are directly related to the level of oil service drilling and completion activity. Most of our business is selling short cycle products to service companies to sustain, replace and upgrade their drilling and completion operations. We believe the third quarter was clearly the bottom in oil service activity and drilling and completions activity are now rebounding. We began to see an increase in our orders in the latter part of Q3, resulting in an 8% sequential increase in our bookings in the third quarter. We expect a strong increase in our inbound orders in Q4 and as our customers put equipment back to work. We are also participating in the new equipment orders in the Middle East and Asia as well as non-oilfield activity for our subsea business.
 These increased bookings in Q3 and Q4 will drive higher revenue for Forum in Q4 with impressive incremental margins. We have made dramatic progress in reducing our cost structure since we began these efforts at the beginning of 2019. Our cash costs, excluding our materials costs, are down almost 50% over this period as we have significantly reduced our overhead expense.
 I am also pleased with the progress on our debt structure and our liquidity position. In August, we extended the maturity of our bonds from 2021 to 2025 and our ABL credit facility is undrawn. Forum is positioned to benefit in the recovery in drilling and completions activity from the unsustainably low levels experienced recently. Lyle? 
David Williams: Thank you, Chris. During the quarter, we transformed the company's balance sheet, and we have begun to see the benefits of our significant cost reduction efforts. First, let me speak to the improvements made to our capital structure.
 In the beginning of the quarter, we successfully completed a par for par exchange of the majority of our 2021 notes for new convertible notes, extending the maturity to 2025. At the end of the third quarter, we had $129 million of liquidity. This should be sufficient liquidity to fund operating cash needs for the foreseeable future, even in a robust market recovery. Subsequent to the third quarter, we issued a call notice to redeem the remaining $13 million of 2021 notes. When these notes are retired, the maturity of our ABL credit facility will extend to October 2022. In addition, we announced a 1-for-20 reverse stock split and we'll begin trading next Tuesday, November 10, at the new ratio and higher stock price. We anticipate that the higher trading prices will bring Forum into compliance with the NYSE's trading requirements.
 Second, I want to highlight the significant progress during the quarter in respect of cost reductions and the benefits we are seeing. Since the beginning of 2019, we have reduced annualized cash costs by over $180 million, nearly 50%. These reductions include $23 million in the third quarter alone. Because of these cost reductions, EBITDA increased $2 million in the quarter despite a $10 million reduction in revenue. While we are pleased with this success of these savings results, our expectations for only a modest market recovery compel us to take additional cost reduction actions in the fourth quarter. We believe with our leaner cost structure following these reductions, we can achieve breakeven EBITDA at levels of industry activity of about 325 working rigs in the U.S. This is a significant improvement from our historical breakeven level and lays a foundation for high earnings torque on activity and Forum revenues ultimately increased.
 In summary, Forum's transformed balance sheet provides a long runway for the company to benefit from a leaner cost structure when activity levels and market share gains lift Forum's revenue.
 With that context, let me cover our results for the quarter. Net loss for the quarter was $22 million, or $0.19 per diluted share. Excluding a $29 million gain on extinguishment of debt, $12 million of special items and $3 million of foreign exchange losses, adjusted net loss was $0.30 per diluted share. The special items resulted from ongoing cost reduction efforts and include impairments of certain operating leases and other assets as well as restructuring charges. A complete reconciliation of net income is provided in our earnings release for your reference.
 Our free cash flow after net capital expenditure in the third quarter was $6 million. We benefited from the receipt of $14 million of tax loss carryback allowed under the CARES Act, which was partially offset by $9 million of cash interest paid in the quarter. Proceeds from the disposition of certain capital assets, net of capital expenditures, generated $2 million of cash in the third quarter. We expect asset dispositions to be a source of cash again in the fourth quarter, pending the completion of a few ongoing property sales. Excluding the tax benefit, we generated $12 million from decreases in our net working capital and expect reduction of working capital to continue. For the fourth quarter, we expect our free cash flow to once again exceed EBITDA.
 Interest expense was $8 million in the third quarter, and depreciation and amortization and stock-based compensation were $12 million and $2 million, respectively. We expect these expenses to remain at similar levels in the fourth quarter. Adjusted corporate expenses were $5 million in the third quarter and we expect them to be up modestly in the fourth quarter.
 We continue to have some tax expense, despite an overall net loss, as we are not recognizing tax benefits in loss-making jurisdictions, but continue to recognize tax expense for some international jurisdictions with income. Once we turn profitable in jurisdictions that are currently loss-making, we expect to have a relatively low tax rate as we begin to use our net operating losses.
 The face of our balance sheet shows a $122 million sequential decrease in long-term debt, comprised of the full repayment of $85 million of ABL credit facility borrowings and a $37 million reduction related to our debt exchange. The $37 million is comprised primarily of a $33 million debt discount and additional decreases related to debt issuance costs. The debt discount reflects the fair value discount on the 2025 notes under the accounting rules for debt extinguishments where we recorded the new debt at an estimated 90% of par. This discount and additional debt issuance costs will be amortized as additional non-cash interest expense over the life of the notes. For clarity purposes, the difference between the $33 million debt discount and the $29 million gain on extinguishment of debt recorded in the income statement relates to $3.5 million of early participation payments made to bondholders during the debt exchange.
 Since segment results are detailed in our earnings release, I will share just a few highlights here. The 35% sequential decrease in drilling activity in the U.S. had a meaningful impact on our Drilling & Downhole segment as demand for drilling rig components and well construction casing hardware was significantly impacted. However, we are already seeing green shoots of activity in these product offerings as drilling rig count has increased by about 50 rigs after bottoming in August. Furthermore, in these product families, our Permian Basin sales teams are making strides to improve our market share, and we anticipate growing revenues going forward.
 Our subsea product line continues to penetrate the defense industry and offshore wind development, which has helped sustain overall subsea revenues despite ongoing declines in the offshore oil and gas spending. In the quarter, subsea revenues declined based on lower revenue recognized on the execution of existing backlog. Our artificial lift products are a bright spot for the segment. Demand for these products is more tied to well completion activity, and we saw a 30% increase in revenue for these products in the quarter. Neal will provide additional background and color on this important product family in his prepared remarks.
 The increase in U.S. well completion activity also benefited our Completions segment. As our service company customers in pressure punting, wireline and coiled tubing services put their assets back to work, they increased spending on replacement and consumable items. We saw a large increase in revenue for wireline products, in particular, our Enviro-Lite greaseless wireline cable which increases the efficiency of our customers' operations. Demand for our stimulation products also increased in the quarter as customers replaced consumable items to put their fleets back to work.
 Finally, in the Production segment, our valves product line continued to feel the negative impacts of slow underlying demand, compounded by reductions in inventory across distribution channels. Orders in revenue in almost every part of the valves product line were negatively impacted. We believe the distributor destocking to be transitory and that underlying activity in the midstream and downstream markets will ultimately increase just as we have seen completions and drilling activity increase. That said, the valves business team took decisive action in the quarter to reduce costs and actually increased EBITDA in the quarter despite a meaningful decrease in revenue.
 Revenues for our production equipment product line were down, primarily due to the slowdown in shipments to our customers in the Mid-Continent and Permian basins. Orders, however, were up significantly in the product line as customers placed orders for future shipments in both oil and gas focused basins. This increase in commitments by our customers is consistent with strengthening drilling and completion activity in the U.S.
 Now let me turn the call over to Neal to discuss some of our key operating initiatives. 
Neal Lux: Thank you, Lyle. Good morning, everyone. As we head into the final quarter of a difficult year, I want to recognize Forum's incredible employees. The challenges we have experienced within our society, industry and company have been monumental. The Forum team has responded with resolve, persistence and determination. Thank you.
 Looking back at the market during Q3, the trends between drilling and completion activities diverged a bit. After bottoming during Q2, and frac activity in the U.S. has more than doubled. While that increase was from a very low base, this contrasts with the U.S. drilling rig count, which bottomed halfway through the quarter but has increased far less from that point. This divergence drove demand for completions-focused solutions while drilling and well construction products lag.
 We saw the trend in Forum's bookings for products and solutions tied to well completions. They significantly increased quarter-over-quarter. This includes Enviro-Lite, our premium greaseless wireline cable, DURACOIL coiled tubing, and our natural gas production-focused GPU. We expect to see further growth for these solutions in the fourth quarter, especially as customers bring equipment back into service.
 Another product that witnessed increased demand in the quarter was SandGuard, our ESP sand management system SandGuard is part of our artificial lift offering, which is marketed as Forum Multilift Solutions. This line offers sand management, gas mitigation and cable protection systems that extend the life of our customers' artificial lift program. These solutions work on almost all types of artificial lift and are not tied to a certain brand of pump. Also, a great characteristic of this line in that it is driven by production. Demand comes from new completions and workovers. In fact, about 50% of our sales go into older producing wells. Forum Multilift Solutions generates strong results regardless of the level of drilling and completion activity.
 Another trend we continue to monitor is the buildup of drilling and completion equipment in the Middle East and Asia. This activity slowed a bit during Q3 due to COVID-19 travel restrictions. However, we expect activity to recover in Q4 as national oil companies, the Big 4 service companies and local Middle East providers resume operations. This will drive bookings and revenue for our premium drilling handling tools, mud pump consumables, blowout preventers and coiled tubing.
 Shifting to the cost side, we have significantly reduced expenses across the board. As Chris and Lyle have mentioned in their remarks, our cash costs have been reduced by nearly 50% since last year. However, in an environment where U.S. drilling rig count is expected to average between 300 and 400 units next year, more costs need to be taken out of the business. We are continuing to review our portfolio of products. We have a number of products that generate substantial profit even at low levels of activity. These products also deliver significant economic value to our customers, they are differentiated with limited competition, and they will grow strongly through the next cycle. We will continue to invest in these products to develop new technology and to take additional market share.
 Concurrently, given the expected level of activity next year, we will significantly reduce expenses for products that are not profitable with their current cost structures. We have begun and will continue to simplify, consolidate and potentially exit certain of these products. These actions are currently expected to be completed by early 2021 and will eliminate an additional $20 million to $30 million of annual expenses. After these actions are complete, we will have significantly lowered our breakeven EBITDA and enhanced our operating leverage.
 I will now turn the call back over to Chris for closing remarks. 
C. Gaut: Thanks, Neal. What a year 2020 has been for so many reasons. Who could have predicted negative oil prices resulting in a sudden stoppage in oilfield activity, driving the rig count to record low levels? But the worst is behind us from an oil and gas perspective. Operators have begun to ramp up their drilling and completion activity so they can try to sustain their oil production levels. Meanwhile, the U.S. gas market is looking better than it has in years.
 At Forum, our new orders turned up in Q3 for the first time in several quarters. This is the necessary precondition for our revenue to increase, which we expect to occur in Q4. As activity levels begin to recover, Forum's results will show a direct improvement. We expect our Q4 revenue to be at least as high as the $113 million generated in Q2, and we also expect our sequential incremental EBITDA margins to exceed 35%. With the recent changes to our debt structure, we now have a sustainable financial position and the cash resources to fund our growth. Our much more efficient cost structure means we will achieve an attractive earnings level at a much lower level of drilling and completion activity than in the past.
 Thank you for your interest in Forum. Lara, at this point, we will open the line for questions. 
Operator: [Operator Instructions] Your first question will come from the line of Dan Pickering from Pickering Energy Partners. 
Daniel Pickering: I guess I'll start by saying congratulations on all the progress on the debt front. That was a herculean effort. And it looks like it gives you a lot of runway. So congratulations on that. That's the comment. Question would be, so Neal, you mentioned a fairly significant reduction in expenses, another $20 million to $30 million in annualized expenses associated with some efforts around your various product lines. Is that number something that is -- you talked about breakeven EBITDA at, I think, 325 rigs. Do we do we think about this lowering the required number of rigs to get to breakeven in the U.S., or was that incorporated in that comment? 
Neal Lux: Hi, Dan. Yes, the additional cost savings that we're going to take out of the -- our additional costs were going to take out of the business is included in that breakeven estimate that we put for 325 rigs. 
C. Gaut: So it's part of our effort to lower that breakeven point and continue to do what we can. And we're not assuming any improvement in the market from a pricing standpoint or something like that that would eventually come along and help increase the operating leverage even more. 
Daniel Pickering: Sure. And then when we look at the orders that you're taking today, can you talk about what margins or profitability looks like on those orders compared to where we might have been in Q1 or Q2 of this year? Is it better or worse, the same? 
C. Gaut: Yes. I mean, one of the things we're trying to take advantage of here, Dan, is across our portfolio, we have product lines that have very strong margins even in today's market. And we have others, just given the low activity, the margins are low. I don't think it's such that we've had a significant change in the margins within a product line. But what we're trying to do is put the resources behind those product lines that have these higher margins and that we think will have the near-term benefit of the market recovery, such as in our completions area. High-margin products benefiting from this upturn will drive financial performance. 
Daniel Pickering: Great. And then one last one and I'll re-queue and let others ask questions. Your working capital continues to be an increase in cash flows for you. You indicated I think in the prepared remarks that you expect that to be able to continue. Any sort of order of magnitude? You're kind of taking out somewhere between $10 million and $20 million a quarter of receivables and inventory. Do you think that trend can be sustained? And how much working capital do we think we might see in 2021, given you expect activity to improve and revenues to tick up? 
David Williams: Yes, Dan. This is Lyle. Good question. So I think as we see the orders begin to inflect and revenue pick up, one of the headwinds we'll have is building accounts receivable as the business begins to grow. We do still continue to have significant opportunity on the inventory side of our working capital reduction. The team's done a really nice job of reducing inventory over the past bunch of quarters, and we think that would continue and at least an initial part of a recovery in activity and revenue begin to accelerate. And then at some point, that would slow down as we need to build up some revenue in certain key areas where we're a little bit lighter. So we think that will continue and provide a source of cash above our EBITDA level so we can continue to have that cash flow conversion be higher. 
C. Gaut: Yes. And the inventory source of cash should offset the build in receivables, yes. 
Daniel Pickering: So net neutral at worse, but probably a net positive in terms of cash impact. 
C. Gaut: Yes. That's what we're planning for, yes. And then, of course, EBITDA growing as a contributor. And our capital spending requirement, we are capital light; very little in the way of CapEx. Great. Thank you, Dan. Well, very good. Lara, I think that'll wrap us up here. And we appreciate the interest, and we look forward to talking to everyone next quarter. Thank you very much. 
Operator: Thank you, sir. Thank you so much presenters, and again, thank you everyone for participating. This concludes today's conference. You may now disconnect. Stay safe and have a lovely day.